Operator: (Operator Instructions) Now I’d like to turn the meeting over to Rich Cleys.
Richard P. Cleys: Thank you for joining us for the ScanSource conference call to discuss financial results for the quarter ended March 31, 2008. My name is Rich Cleys, Chief Financial Officer of ScanSource and with me are Mike Baur, CEO; and Scott Benbenek, President of Worldwide Operations. We’ll review with you the quarter’s operating results and then take your questions. This conference call contains certain comments which are forward-looking statements that involve risks and uncertainties. These statements are subject to the Safe Harbor created by the Private Securities Litigation Reform Act of 1995 and a number of important factors could cause actual results to differ materially from anticipated results. For more information concerning factors that could cause such a difference, see the company’s annual report on Form 10-K for the year ended June 30, 2007 filed with the Securities and Exchange Commission. I will start our discussion by providing overall sales and operating results. The company posted sales of $514.4 million for the quarter ended March 31, 2008 an increase of 4% over sales of $492.7 million for the same quarter last year. Measuring sales based upon our product groups shows year-over-year growth of 13% in AIDC and point of sales along with a 9% year-over-year decrease in communications products for the quarter ended March 31. That produced a 65/35 mix of AIDC POS versus communication products. Gross margin was 10.1% for the March 2008 quarter compared to 10.4% for the same period last year. This quarter’s margin of 10.1% was adversely impacted by a decrease in Europe margin due to unfavorable pricing and a lower achievement of vendor programs. Without these two factors our gross margin percent would have been 10.4%. Operating expenses were $32.7 million or 6.4% of sales compared to 6.9% for the prior year. On the non-GAAP basis operating expenses increased from 6.3% for the prior to 6.4%. Included in the prior year expenses were Special Committee expenses of $3 million related to the stock option review. When we have significantly lower revenues than planned our SG&A expenses as a percentage of sales is higher because we did not reduce expenses substantially by the end of the quarter. Operating income for the March 2008 quarter increased 10% to $19 million from the prior year. Operating income as a percent of sales without the cost of Special Committee was 3.7% compared to the prior quarter of 4.1% or a decrease of $1 million. Net interest expense was $696,000 compared to $1.7 million for the prior year quarter. Interest expense decreased from prior March quarter on lower debt. Operating cash flow for the March 2008 quarter was -$54 million which is due to less inventory purchasing and accounts payable payment timing. Nonetheless the bulk of the negative cash flow occurred late in the quarter and had little impact on interest expense for the quarter. Our average debt for the March quarter was the same average debt as the December quarter. The tax rate for March 2008 was 38.8% compared with the prior year quarter of 34.6%. Last year’s full tax rate was 37.8%. Our year to date tax rate is 38.1% which is reflective of our expectation for the year. Net income for the March 2008 quarter increased to $11 million or 2.1% of sales compared to $10.1 million which was 2.0% of sales. Excluding Special Committee non-GAAP net income for the March 2007 period was $12 million. Therefore the March 2008 net income decreased 8%. Our return on invested capital this quarter was 18% which is below our historical range of 20 to 25%. This is primarily due to lower operating earnings for the quarter. Balance sheet metrics and cash management were as follows. Inventory turns were 5.8 times at the end of the March 2008 quarter down from 6.2 turns posted in March 2007 quarter and 6.3 turns for the December 2007 quarter due to lower sales volume than planned. The number of days of sales in receivables, DSO, was 59 at March 31, 2008 compared to 61 days posted in the March 2007 quarter and 57 days posted in December 2007. We increased our bad debt reserve $460,000 from the December 31, 2007 reserve balance. Paid for inventory days were +14.5 days for the March 2008 quarter and +8.4 days at the end of the March 2007 quarter. At December 31, 2007 our paid for inventory days were -1.7 days. Lower sales led to lower inventory purchases primarily in our Catalyst and our international business units. Lower purchases during the quarter had the impact of lowering accounts payable by the end of the quarter. In addition timing had a significant impact on payable days as the checks written but not cleared which are included as accounts payable decreased to $30 million compared to $72 million at the end of December. Further we elected to take advantage of early pay discounts which decreased accounts payable by $15 million at the end of the quarter. Our interest bearing debt was $100 million at March 31, 2008 compared to $133 million at March 31, 2007. At December 31st, 2007 our interest bearing debt was $51 million. However as mentioned previously our average interest bearing debt for the March quarter was the same as the December quarter. Mike will now give you an update on our business.
Michael L. Baur: The March quarter was a disappointment as the company experienced three significant problems. One, a key vendor’s new product roll out failed. Two, lower profitability than expected in Europe caused by major vendors’ local pricing policy. And three, lower sales and purchasing volumes resulting in reduced vendor discounts. This issue will affect earnings in the June quarter. I will address each of these issues as we discuss our business units’ performance. Now a comment on each of our reporting segments. North American distribution which includes sales in the United States and Canada posted sales of $421 million a growth rate of 2% for the March quarter on a year-over-year basis. A North American discussion will start with Catalyst Telecom. As we discussed with you on our April 7 conference call our Catalyst business was negatively impacted by the new product roll out of Avaya Communication Manager 5.0. The new product’s terms and conditions led to delayed purchasing by our resellers and lost sales to competitive products. Avaya has announced changes to the program effective April 7th and we are cautiously optimistic that the new program’s terms and conditions will restart some of the Avaya deals that are stuck in the pipeline. However we realize that a percentage of the deals may have been lost to other measures. Our Catalyst management team has worked closely with the Avaya team and our resellers to solve this problem as soon as possible. Our Catalyst unit also lowered purchases significantly in the quarter resulting in lower vendor program achievement. This will result in lower growth margin in the June quarter. Next I will discuss ScanSource Communications. ScanSource Communications team had a good quarter despite the lack of large deals from Dialogic. The Polycom video and audio products however continued to do well for us and we believe we gained market share in the March quarter. We also had good growth from Plantronics, AudioCodes and Inbox. ScanSource Communications will be investing in education and training of our resellers in the June quarter. A series of road shows and online education will enable resellers to become educated on voice, video and data conversions and unified communications. In addition we will be creating an ISB program called [VASNet] or Value Added Solution Network to create opportunities for our resellers and independent software vendors to collaborate. Next up I’ll discuss our North American barcode and POS unit. We had a good quarter in this unit as we experienced low double digit growth year-over-year. As we continue to grow in this segment by taking market share we will see a more competitive environment. As we discussed previously we continue to anticipate additional growth from certain vendor’s plans to push more resellers to distribution. However we did not see any material benefit from these plans develop in the March quarter. We are continuing our recruiting of more small to medium focused resellers through a series of regional road shows schedule over the next few months and are still in the process of adding additional SMB focused sales reps to ScanSource POS and barcoding. And now for an update on our third technology area, ScanSource Security, this business unit had another good quarter and announced a new vendor relationship with GE Security. The relationship with GE will allow us to expand our customer base and drive incremental business. We continue to gain market share with Panasonic, Axis Communications, Fargo and now Verion. We are also excited about our new relationship with Firetide, the leader in video over mesh networks. We recently attended the ISC Security trade show with our largest presence to date and attracted hundreds of prospects to our booth. We will continue to invest aggressively to grow the Security business and establish our particular brand of value added distribution. Our second reporting segment is international distribution. Our international business which includes Europe, Latin America and Mexico posted sales of $93.4 million a growth rate of 17%. When measured on a local currency basis, our international business grew by 5%. After six years of excellent performance we are disappointed with the results from our European business. Our growth and profitability was negatively impacted by the pricing strategy of a major vendor. We have a plan for solving this pricing problem with the vendor during the June quarter but are frustrated that we experienced the loss of market share and profitability. Due to the fact that we purchased in Euros and some distributors purchased in dollars and pound sterling we became significantly less competitive during the March quarter as the dollar and the pound sterling continued to weaken against the Euro at a record rate. In the past our vendors have lessened the negative impact of currency on our costs. However with the accelerated weakening of the dollar and pound sterling during the quarter the vendor’s actions were insufficient. In Latin America and Mexico we experienced a seasonally slower business than the prior year. Especially in Mexico we had almost two weeks of almost no business at the end of March due to an early Easter week followed by spring break. We were able to take advantage of the slow period and moved to a new warehouse in Mexico City which doubled our office and warehouse capacity to 22,000 square feet. This move is complete and we expect to have sales growth return in the June quarter from Latin America and Mexico. Next I will update you on our newest business unit, MTV Telecom which is a ScanSource Communications affiliated company and was acquired in early April. Based in England MTV Telecom is our first European communications business and has an excellent reputation as a true value added distributor of voice and data products for Avaya, Siemens, Panasonic and Swiss. MTV Telecom sales for the previous 12 months were approximately $18 million. MTV Telecom was recently authorized to carry the mid-market enterprise products from Avaya which will allow them to penetrate new accounts, expand their existing Avaya reseller’s business opportunity. We expect to leverage our catalyst Avaya expertise in the United States as MTV Telecom launches the Avaya enterprise products in the UK. We will conclude this part of the call with our expectations for the June 30 2008 quarter. We think total revenues for the June quarter could range from $540 million to $560 million and our EPS could range from $0.45 to $0.48 per share. At this time we’ll be glad to answer your questions.
Operator: (Operator Instructions) Our first question comes from Jeff Rosenberg - William Blair.
Jeff Rosenberg – William Blair & Company, L.L.C.: I guess there are several questions to ask about the European pricing issue. Obviously with the trend here in currencies going on for a while it sounds like the only thing that was different was the vendor’s pricing policy. Is this one vendor or was it across the board in the sense that your vendors as a whole couldn’t keep up with the pace of things? Could you maybe clarify a little bit about whether it’s a specific problem or more of a trend problem?
Michael L. Baur: Kind of the way we purchased and we have since we started there is we told the vendors early on that we wanted to buy in the local currency so that we can sell in local currency and so as a result every vendor has a European price list. However we have one vendor in particular that has always preferred that distributors and partners buy in dollars. We have not done that and we felt like that the risk of the currency was really the manufacturer’s responsibility and not distribution. All of our vendors except one sell to us in local currency and they don’t allow other distributors to buy anything but local currency with the one exception of the UK where they do have local distributors there buying pound sterling. All of our vendors have consistently lowered the Euro price list in a coordinated effort with the weakening that we’ve seen with the pound. With the dollar weakening as fast as it did last quarter and the pound weakening as fast as it did some of the vendors, and one in particular, did not move their Euro price list fast enough so essentially our inventory was overpriced in the market and by the time we figured out how big a deal it was, we had lost market share and lost gross profit margin significantly.
Jeff Rosenberg – William Blair & Company, L.L.C.: Why would it have been both? I completely understand why you would have lost market share because your product would have been mispriced but why did you also have to cut prices in such a way that it was your issue, not the vendors?
Michael L. Baur: Yes. So the vendor wasn’t able to give us the price that we needed fast enough and so that we didn’t have a total loss in that market share, we did take some very business at very low margins while we were arguing about what the new pricing should be and how much our inventory was overpriced. So the fact that the rate changed much faster in the last quarter, I’ll let Rich tell you what the numbers we looked at, it’s why it was more dramatic in the March quarter, the vendors would have to change their Euro prices several times during the quarter and they did not.
Richard P. Cleys: So the change for us from the end of December to March was our average inventory in just dollar terms was at about $1.40. The rate at the end of December was $1.46 so we were already behind with an average of $1.40. By the end of March the dollar Euro had gone to $1.58. So just looking at the end of December range at the March rate, that’s up 82.2% and then if you add to it the difference that we had in our inventory with $1.40 you’re at a double-digit change in terms of really what our cost is versus our competitors. You know what those margins that we work with that are fairly thin; we don’t have any room to work. So we’ve got to get some relief and we’ve got to get timely relief in terms of protecting our inventory costs. So this was more significant than in the past because the rates deteriorated so quickly this quarter. In the past they’ve been able to more or less keep up with it. This time they just couldn’t keep up with the changes or they didn’t keep up with the changes.
Jeff Rosenberg – William Blair & Company, L.L.C.: You mentioned that you have a plan to address this, what sort of improvement are you expecting in the June quarter or if not any improvement in the June quarter, what’s the timeframe to get back to where you need to be in terms of price competitiveness and profitability?
Richard P. Cleys: If we look at the midpoint of the range $550 I would target about a $0.46 a share target. That would assume that we really don’t have any improvement in that dollar pound pricing issue. If you look at the high end of our guidance $560 and $0.48 that does assume improvement but it is April now so once month’s already gone in the quarter so any improvement we get we’ve got less time to roll it through in the quarter. So what we’re looking for is we’re looking for improvement in our margins but we don’t see all of that improvement coming through in the June quarter, it’s going to take some time to get that worked through.
Jeff Rosenberg – William Blair & Company, L.L.C.: On a different topic, Mike, you talked about a more aggressive competitive environment in terms of your efforts to continue to grow your business in the North American barcode space, haven’t heard you bring that up in a while. Maybe just ask you to elaborate on that a little bit.
Michael L. Baur: I think what we saw there is our business didn’t grow as much as we had hoped it would in the quarter and as we looked at reasons why we didn’t there were clearly some opportunities at pretty low margins that we walked away from. So we’re having to make some decisions there as to whether we take that business or not and evaluate that for the future. Obviously the North American market in barcode and POS is not the most robust market right now and so for us to grow faster than what we’re growing now would come at a cost on the margin side. Really it’s more of a signal that if we try to accelerate our growth we could and we’re still trying to decide if that’s a good business opportunity for us. I would that if you look at the midpoint in the guidance that still suggests reasonable market share growth but not extreme, not aggressive.
Jeff Rosenberg – William Blair & Company, L.L.C.: Is that issue broad based in the barcode marketplace, more isolated on the point of sale? Any color there in terms of the nature of this competition?
Michael L. Baur: I think it’s two things. One is there it’s not specific to a vendor. It’s really just the other distributors in the marketplace are looking at trying to not continue to lose market share to us and secondly, some of these vendor plans that have been talked about where they’re going to shift some direct customers to distribution, some of the margins on those customers are lower than we had hoped. So if we try to gain that kind of market share, it will come at lower gross profit margins. Again we’re still evaluating with the vendor frankly as to whether we’re going to be paid for that business.
Jeff Rosenberg – William Blair & Company, L.L.C.: A last quick question I had is you talked about the average interest bearing debt on your balance sheet not being a factor. But what about in the June quarter? Is the timing issue one that quickly reverses and it’s not material or do we look for higher interest expense as we look at June?
Michael L. Baur: To answer the last part of the question first, I would not look for higher interest expense as compared to March. What we’ve modeled at the mid-point assuming that we purchased in accordance with plan and we pay out payables in accordance with the terms which we do, we should have a significant turn around in that cash flow so that that -$54 million cash flow from operations from the quarter should at least reverse, if not better.
Operator: Our next question comes from Chris Quilty - Raymond James & Associates.
Chris Quilty – Raymond James & Associates: Follow up question on the European situation, can you just to be clear, the competitors who you were disadvantaged with were local companies using again selling in local currency?
Michael L. Baur: Chris, in some cases it’s actually larger companies that are historically in the IT business that purchased in dollars. So it’s not necessarily just a local currency issue with the pound sterling. Say a US based company is operating in Europe who prefers to buy in dollars.
Chris Quilty – Raymond James & Associates: Barring price changes coming back in line, how long do you think the situation would last in terms of working through higher cost inventory to get back to more of a stable competitive situation?
Michael L. Baur: We’re in some pretty intense conversations right now with our key suppliers and I think they want us to stay competitive in the marketplace as soon as possible because they appreciate the value add that we bring to their marketplace and really this took their senior management totally by surprise. They did not realize how this was affecting our business until literally the quarter was over. Our hope is that we can resolve it very quickly here in this quarter so that we start to see the benefits before the end of June. However as Rich said we’ve not modeled that will get the benefit right now. We want to be a little more conservative there. We do believe that our manufacturers and one in particular we’ve talked about this did not do any of this to harm our market share or our profitability.
Chris Quilty – Raymond James & Associates: Does that make you feel better?
Michael L. Baur: I still got pissed off about it but I feel a little bit better.
Chris Quilty – Raymond James & Associates: Shifting over to Avaya and the product roll out, can you give us a little more color on what you think the resolution is there and how quickly you end up working through these issues to get that business stabilized?
Michael L. Baur: So far the feedback we’re getting is very positive meaning if our dealers look at the program changes they all are not [inaudible] yep this looks like they’ve done most of the right things. They didn’t say 100% but pretty good. So now what has to happen is all the dealers quotes that are out there in the field have to go and be re-quoted under new terms and conditions. Now in some cases deal with an end user that since end users say this doesn’t make any sense to me, they may have called in additional competition. What it suggests is that we may a little slower sales to order cycle for us than we would normally get meaning that from the time the reseller gets an acknowledgement that he’s going to buy it’s going to take longer than normal for them to get that and it’s still going to cause them delays we think in this quarter. But we feel good about. Avaya is still making the right strategic decision with their program. All the dealers agree with that, too. It’s just the execution of this program was done very poorly and they acknowledge that.
Chris Quilty – Raymond James & Associates: One final question, the point of sale business, you haven’t talked about that in a while in terms of large deal activity, up, down, staying flat, still waiting?
Michael L. Baur: It’s interesting because a couple quarters ago I kind of just decided to just quit talking about much as you just said because what we saw was that the big deals have changed over the last 18 months where the end users are no longer taking all of the inventory at one time. When they do close a deal they’ll roll it out over a year. In the past the reseller would get the end user to take a year’s worth of product at one time. The end user would store it in their facility and then roll it out. That dynamic is gone and so no we’re seeing that a large deal is a roll out deal and we don’t as big an impact in the quarter. Our US business actually was pretty good from a year-over-year basis. We had decent growth both in the US and in Europe and it’s an area that we’re seeing nice steady business just not as being big deals as we did in the past.
Chris Quilty – Raymond James & Associates: Is that primarily tier one, tier two or the same historic split?
Michael L. Baur: I would say that’s the tier one business is pretty much still monopolized by the manufacturers in most cases. So is tier two business, yeah.
Operator: Our next question comes from Reik Reid - Robert Baird & Company.
Reik Reid – Robert Baird & Co., Inc.: Mike, can you go back to the Catalyst issue and talk about with that product/program, how significant is that to your business at this point? Obviously it’s big, but can you give us some idea?
Michael L. Baur: Sure, I’ll try. Try not to give away too much of Avaya’s information to their competitors but in general if you recall this product is the main software that you buy when you buy their enterprise class PDX. So when enterprise class PDXs are we’ve got as we’ve said before many times about 75% of our Avaya revenue. This particular product is an upgrade version of the software that we were selling December of last year and this new upgraded version comes with different terms and conditions than the prior version.
Reik Reid – Robert Baird & Co., Inc.: Has the essential issue been that the upfront payment versus the maintenance fees are different and people are just trying to sort through that?
Richard P. Cleys: That’d be the over simplified answer.
Michael L. Baur: That’s exactly right. Avaya and dealers and distributors all got together over the last 18 months and talked about how the maintenance and upgrade of software should be handled long term. And how should it be priced and how should it be sold to the end user and this has been talked about a lot but as it got rolled out here during this past quarter I don’t think anybody realized how the end users would react so negatively to this new offer. So that’s why we talk about it being rolled out poorly is that the end users just said I’m not going to buy this Communication Manager 5.0, forget it. I want the old stuff and if you’re going to sell me old stuff, you better sell it to me cheap. It stalled some deals, it lost some deals but they understand that they need to sell the new version, everybody understands that. I think we as partly a terms condition think right now we can get people starting to buy it and work into this new software support strategy over time.
Reik Reid – Robert Baird & Co., Inc.: With the changes that they’ve made, I know you say the jury’s out, but will your economics be different than what you thought they might have been assuming business gets going the way you hoped it will?
Michael L. Baur: No, the program from that standpoint was well thought out in that it doesn’t affect our profitability frankly either way, if we’re selling a piece of software just like we have before.
Reik Reid – Robert Baird & Co., Inc.: Catalyst business away from this, I know it’s smaller but that seems to be business as usual? Is that what I’m to take?
Michael L. Baur: The rest of Catalyst business you mean?
Reik Reid – Robert Baird & Co., Inc.: Yes.
Michael L. Baur: Juniper we had another record quarter. They did a phenomenal job on that product line. They did an okay job with Extreme, Polycom in the Catalyst unit even did okay. Our sales people had to find something else to sell frankly. And they did a really good job with Juniper. We were real pleased with that. Aruba is just starting to take off; we really haven’t had a lot of discussion on that yet. With that a little slow coming out of the gate than we would like, but otherwise yeah we’ve got the teams very focused and actually, and I didn’t mention this either, but our S&B business actually was okay. It wasn’t a great quarter but the Avaya S&B business actually was decent because again we had to find something to sell.
Reik Reid – Robert Baird & Co., Inc.: On the small, medium bar recruitment that’s something that’s been underway for a while now and in the last couple of quarters you’ve had some pretty good success there, you mentioned that you’re adding additional salesmen, how much longer does that process last of adding additional folks and can you give us some sense for this new group, what the penetration is in terms of them coming over to you guys?
Michael L. Baur: I think we’ll probably stop adding during the June quarter and then kind of see how it shakes out over the next couple of quarters. I would say by the end of June we’ll be finished with that ramping effort and I would say we’ve still got several thousand companies, dealers that either used to buy from us and they don’t any longer or they buy from a competitor that we had to go penetrate. We feel like we’ve got quite a bit of business still to unlock there plus what we’ve done as part of this effort is we’ve looked at changing the number of accounts that even some of our more experienced sales reps are dealing with because there’s some of those accounts that probably weren’t getting as much attention and as a result we weren’t getting much wallet share as we would like. We’re basically saying let’s spend more effort with even existing customers to gain more share of their wallet. We think there’s significant opportunities still there.
Reik Reid – Robert Baird & Co., Inc.: Let me ask one question on the security front, I don’t know if this is a relevant question but I thought I’d try it, is there a historical comparison on a relative maturity basis of the security business if you look what you guys have done with European barcode and telephony, i.e., starting out with a small unit, trying to really work through a messy distribution structure and then seeing a level of maturity and if there is can you give us a sense for where you think you are in that business?
Michael L. Baur: Sure. I think right now we have not been able to get enough momentum in that business to get the attention we need from some of the key manufacturers and the larger customers. In all the other businesses we’ve been we were able to get some early momentum by acquisition and that’s something we haven’t done here and it’s something that probably is hurting us because the fact that we don’t have the volumes to be able to at least have the same table with some of the larger competitors right now. I think that’s what’s probably slowing down our ability to really accelerate some momentum and sales in that marketplace. We’ve got to do a few things over the next few quarters to shake it up. We’re looking at that right now.
Reik Reid – Robert Baird & Co., Inc.: But you finally have added some large guys there. Is that starting to turn the table and what are some of the things that you guys need to do? Because it strikes me that Europe even with acquisitions took a couple years for you guys to really get that squared away.
Michael L. Baur: You’re right. The one other hurdle in security is the fragmentation of the vendors. Whereas we’ve already got on our line card about 60 vendors. In Europe we didn’t have nearly that many. We really had to go work with the top 10 or so. Here right now we’ve got to work like 20 of them, 25 of them. Now we’ve added GE. That’s certainly a significant opportunity. We’ve got to figure out who are the other key vendors that we don’t have that we need to complete some of the solutions whether it’s products that go along with a Panasonic sale or products that go along with a GE sale or some of the other ones. GE is the first vendor we really have that has a pretty complete offering and that’s probably the most significant piece is that we can sell a total solution with GE and we’ve only got part of the solution with the other vendors.
Operator: Our next question comes from Andy Young - Thomas Weisel Partners.
Andy Young – Thomas Weisel Partners: Just a question regarding gross margins, you mentioned that gross margin was intensified under achievement with vendor programs, can you give us some more insight into how the benchmark is set and when you expect that impact will go away?
Michael L. Baur: I think there’s two pieces to that and one is the under achievement and the effect it had in the March quarter and then also the under achievement of some of the programs and how it may affect us in the June quarter. We combined that effect in with the European currency issue and the under achievement of programs was a much smaller piece of that in the March quarter. From a June perspective probably under achievement of purchasing and rebates or programs in the March quarter will affect us in June whereas we hope to solve some of the currency issue. Those programs were they’re generally baseball purchases and the achievement is based on that and then the recognition of that program happens as we sell that inventory out generally in the next quarter.
Andy Young – Thomas Weisel Partners: Generally there’s a quarter of lag time between that benchmark and –
Michael L. Baur: That’s right. That charge with the inventory turns so it’s like a 60 day lag.
Andy Young – Thomas Weisel Partners: One more question about your AIDC North America sales, it seems like you have pretty good sales in third quarter, it’s like low double digits. You mentioned that [inaudible] so where is the strain coming from? Can you give us a little bit more insight in each market vertical, is it better than you expected? Which ones performed worse than you expected?
Michael L. Baur: We generally don’t know a lot about the vertical markets so we generally talk about the products themselves and which one did well in the quarter. I would say there was no particular product area that stood out. We had good support in printers, we had good support in our mobility products and as we talked about earlier point of sale was okay. It was a decent quarter. So this was one of those where nothing really jumped out at us. We had pretty steady business across the board. What we don’t have today that we used to have were large point of sale deal quarters and that’s pretty much away. Pretty much everything is now more of a large deal that rolls out as I was saying earlier on a run rate basis over several quarters.
Operator: Our next question comes from Jeff Rosenberg - William Blair & Company.
Jeff Rosenberg – William Blair & Company, L.L.C.: Just looking at your June quarter revenue guidance, the midpoint is in line with seasonal averages for the June quarter on a sequential basis but still a pretty strong up tick given all the issues. Just curious in that assumption you’re thinking that some of the issues you’ve had bounce back or can you give a little color as to your comfort level with the strong seasonal finish to June relative to the issues you’ve faced?
Richard P. Cleys: Jeff, we certainly worked our guys pretty hard over the last few weeks as you can imagine to make sure that we have a realistic target. We want to make sure that whenever we challenge our teams internally we have a sense for where they’re stretching and where we’re being unrealistic and we believe these are realistic targets for us based on the current knowledge we have in the marketplaces. We recognize that our international business literally fell off a cliff. We essentially had a year-over-year decline in Latin America and you had growth in international plus you have reasonable growth in our North America business and we think this suggests still a slight decline. From the modeling we’ve done in phones on a year-over-year basis with a low double digit growth in barcode.
Jeff Rosenberg – William Blair & Company, L.L.C.: So should we assume that some of that falling off a cliff is stuff that will bounce back because you’ve got issues you’ve corrected? Is that part of the assumption there?
Richard P. Cleys: Yes, it is.
Michael L. Baur: The other thing to remember, Jeff, is that over the March quarter if you’re comparing the March to June, over the March quarter the exchange rate was such that we’ve got an average in the March quarter. We’re entering into the June quarter in a 158. So you’re going to have some exchange rate adjusted benefit if the dollar continues to be as weak as it is. So if you exchange rate adjust back to a like number you’ll find that your international growth in Euro terms is less than what these dollar numbers would show.
Jeff Rosenberg – William Blair & Company, L.L.C.: I know it’s only been two and a half weeks since you gave us color commentary on the strength of the marketplace but you did say that North America in the March quarter was toward the lower end of your expectations. With most of April under your belt is that still how you feel in terms of the tone of things or has there been any improvement there?
Richard P. Cleys: I think in our forecast we’re not suggesting any significant improvement. We’re suggesting that if we decided to go after some initial market share it costs a little bit but I think in our forecast we’re not making that assumption and we’ve got reasonable market share growth but nothing outrageous in North America. Nothing that we can’t achieve based on the relationships we have with our vendors and frankly we have almost no benefit from any significant manufacturers shifting business to us. This is more current course of speed coming out of March looking at April’s numbers and saying hey right now based on what we know we don’t see any significant slow down in that business coming out of March.
Operator: I do not show any further questions at this time.
Richard P. Cleys: Thank you for joining us. Our next conference call to discuss the June 30 quarterly and full year earnings is expected to be on August 21.